Operator: Ladies and gentlemen, thank you for standing by and welcome to the FIS Second Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' session, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your host today, Nate Rozof, Head of Corporate Finance and Investor Relations. Please go ahead.
Nate Rozof: Good morning and thank you for joining us today for the FIS second quarter 2021 earnings conference call. This call is being webcasted. Today's news release, corresponding presentation and webcast are all available on our website at fisglobal.com. Gary Norcross, our Chairman and CEO, will discuss our performance and review our strategy to continue accelerating revenue growth and maximizing shareholder value. Woody Woodall, our Chief Financial Officer will then review our strong financial results and provide updated forward guidance. Bruce Lowthers, President of FIS, will also be joining the call for the Q&A portion. Turning to Slide 3. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties, as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the safe harbor language. Also throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings, adjusted net earnings per share and free cash flow. These are important financial performance measures for the company, but are not financial measures as defined by GAAP. Reconciliations of our non-GAAP information to the GAAP financial information are presented in our earnings release. With that, I'll turn the call over to Gary, who will begin his remarks on Slide 5.
Gary Norcross: Thanks, Nate. Good morning, everyone, and thank you for joining us. Our second quarter results exceeded expectations across the board and demonstrates the continued success of our pivot to growth strategy that we laid out before the pandemic. Revenue of $3.5 billion was the highest quarterly revenue in our company's history. Revenue increased more than $500 million or 17% year-over-year, and adjusted EPS grew 40%. Sales results, which were the strongest in our company's history, are being driven because our solutions remain in high demand, enabling businesses of all sizes to advance the way the world pays banks and invest. This demand, combined with our organizational focus on delivering broader value to our clients, was also reflected in a very strong cross-sales, driving our largest revenue synergy quarter-to-date, increasing our run rate by 50% or $150 million sequentially to $450 million. This sales execution in turn drove a $1.5 billion increase to our backlog, which is now greater than $22 billion.
Woody Woodall: Thanks, Gary, and thank you all for joining us today. Starting on Slide 11, I will begin with our second quarter results, which exceeded our expectations. On a consolidated basis, revenue increased 17% to $3.5 billion, driven by outperformance in each of our operating segments. Organic revenue growth was 16%. We haven't had any material M&A activity over the past year. So the difference between reported and organic revenue growth this quarter is primarily due to the impact of foreign exchange rate. Adjusted EBITDA margins expanded 460 basis points to 44%, reflecting strong operating leverage and synergy contribution. As a result, adjusted EPS increased 40% year-over-year to $1.61 per share. As Gary mentioned, we had exceptional cross-selling quarter, driven primarily by Premium Payback, issuer processing, merchant referral and data analytics win. Given our progress and strength of our pipeline, we are increasing our revenue synergy target for 2021 by $100 million to exit the year at $700 million on an annualized run rate basis. Our achievement of cost synergies also continues to be successful, running further ahead of schedule than we anticipated when we announced the deal. We have more than doubled our initial cost synergy target of $400 million and are on-track to exit the year with approximately $900 million in total annualized savings, including approximately $500 million in operating expense synergies.
Operator: Thank you.  Our first question comes from the line of David Togut with Evercore ISI. Your line is now open.
David Togut: Thank you. Good morning, Gary and Woody.
Gary Norcross: Hey, David. Good morning.
David Togut: Looking at the 2021 guidance, it's increasing by $153 million over the second quarter beat and EPS by $0.01 over the second quarter beat, implying about 50 basis points less of EBITDA margin expansion. So can you talk to your margin expectations for the second half, and what might be driving higher OpEx? And then just as a follow-up, Gary, you've laid out very extensive product innovation, both in the Merchant and Banking Solutions business. I'm curious how do you respond to Square's acquisition of Afterpay yesterday, with their intent really to move more into the national account space in Merchant acquiring?
Woody Woodall: I'll touch on the margin profile, Gary, if that's all right.
Gary Norcross: Sure, absolutely.
Woody Woodall: Yes. We continue to drive margin expansion, including more than 200 basis points this year, and we expect 50 to 100 basis points longer term. In the quarter, the guidance, we significantly increased the revenue based on the strength of our new sales and our competitive position. I'm excited about driving another $250 million up to 10% to 11%. On the margin itself, we are increasing incentive accruals to reward our people for their very strong performance compared to our operating plan, which we're outpacing significantly this year. And as we continue to focus on some of the successive quarters of very big wins, it does create some near-term margin pressure as we ramp these contracts. Margins from these new wins will expand as revenue hits full run rate as we get those clients up and running, David.
Gary Norcross: Yes. As far as the Square acquisition of Afterpay, when we think of buy-now-pay-later, David, it's just another payment type for us. It's another unsecured lending mechanism. Obviously, we're enabling buy-now-pay-later in our largest merchants. We're doing it through partnerships because we don't want to take the credit exposure risk that comes with that. But frankly, we feel very comfortable not only competing in the national markets. But as we push down market into the SMB verticals, you're starting to see we're coming off record growth over the last two quarters in our merchant sales as we've now retooled our sales force and increased that and started pushing down market. But clearly, we've got the most extensive capabilities in the merchant acquiring space today, and you're seeing that growth across our large enterprise, our large nationals, our multinationals, and that's playing to our strength in our sales results. But at this point in time, our view on buy-now-pay-later is just that another payment type that we're going to accept. We'll make sure that we have that available to our customers if they want to offer that, but we're going to minimize taking the credit exposure.
David Togut: Understood. Thanks very much.
Gary Norcross: Thank you.
Operator: Thank you. Our next question comes from the line of Jason Kupferberg with Bank of America. Your line is now open.
Jason Kupferberg: Good morning, guys. My first question was just to actually build on David's and get your thoughts just in terms of attractiveness of transformational type M&A given what's going on in the environment. Just how you're thinking about that for FIS specifically?
Gary Norcross: Yes. Look, Jason, we've always had transformational M&A in our strategy. We continue to look for opportunities that bring us a new capability or a new service in existing market or adjacencies. The team is doing an excellent job of delivering new product out of our engineering group. And you're seeing the results of that contribute to our accelerated revenue growth. Will we do additional M&A in the future? Absolutely. Things are expensive. Right now, we continue to see the intrinsic value of our stock is undervalued. And so obviously, we're very focused on share buybacks and deploying free cash flow in that manner, but we're not opposed to doing M&A activity if it fits our strategy and fills in a gap in our overall capability. Right now, we feel very good about our competitive position of product set. You're seeing it come through in our sales results. I mean, second quarter was the largest sales record for us across the board, across Capital Markets, across Banking, across Merchant. We hit record numbers for that from a sales and in an existing quarter. So, we feel really good about the strength of our position and where we're - the demand for our products and services in market, but M&A will always continue to be something that we evaluate and look at. And if it makes sense, then we'll execute.
Jason Kupferberg: Okay. And just a follow-up for Woody on the margin front. It looks like there's an implied step-up of maybe about 300 bps of margin expansion from Q3 to Q4. So can you just talk about the visibility on that acceleration? What's driving it? Is it just the top line or the OpEx cadence? I know you were calling out some incentive comp and some contract ramp-up costs, but is there just some cadence considerations there between the two quarters? And I just wanted to get the sense of the visibility there on the Q4 ramp.
Woody Woodall: Yes. There's certainly some ramp in the fourth quarter as we sign clients and get them up and running and drive the revenue at that point in time. I think there's also just some cadence of the quarterly spread and the consensus is a little off between Q3 and Q4, no more than that, to be honest with you, Jason. We feel very good about the outlook for the remainder of the year across all three segments, are continuing to drive the growth profile and continue to fuel accelerating revenue growth. So we feel really good there.
Jason Kupferberg: Okay. I appreciate the thoughts. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Tien-Tsin Wong with JPMorgan. Your line is now open.
Tien-Tsin Wong: Hey, thanks. Always good to connect. I just want to get a sense on the backlog being up 8%. It sounds like the pipeline, Gary, is really strong. Just - I heard the revenue synergies are, I think, up $100 million. Are those all related? Just trying to better understand sort of if you can unpack or decompose the new sales, the backlog from the revenue synergies. Where is it coming from? Is it driven by the synergies? Or is it really from a return on investments on some of the product modernization efforts that you've taken on?
Gary Norcross: Yes, it's a great question. It's really coming across the board. I mean, you're seeing us succeed our cross-sales and revenue synergies with the Worldpay integration, we're real pleased on that with the acceleration and Woody highlighted a number of those products. But we're also seeing great adoption of our new product and innovation capabilities. Modern Banking platform is up over 50%. You're seeing our issuer business with PaymentsOne up substantially. You'd look at what we've done in Capital Markets, about end-to-end solutioning across the front, middle and back office, and you're seeing accelerated revenue growth there in Capital Markets as well. So when we look at sales holistically, as I said, all three segments were up, had a record quarter from a sales perspective. But it really was - it was new logo sales, actually gaining share and taking share. It was cross-sell to existing customers of new product capabilities we're delivering to market or cross-selling existing products and then revenue synergies across the Worldpay integration efforts. So couldn't be more pleased with our sales channel. And as I point out, you guys have seen this. We've now had multiple years of record sales and seeing that demand continue to accelerate. So that's what has us so bullish on the future of FIS. And you've seen the growth rates across all three segments consistently trend up as well. And now that the global pandemic, we're starting to see opening, obviously, in the U.S. Europe is lagging a little bit there and Asia. But as you're starting to see reopening, you'll just continue to see more accelerated growth going forward.
Tien-Tsin Wong: Perfect. It was broad based. Just real quick follow-up. Just the visibility into getting - I know Banking accelerated a little bit sequentially in the second quarter. It's sounds like it's going to accelerate more in the second half. Do you need to sell more business to get there? Or is it really just timely conversions of the backlog? And then, really quickly, if you don't mind, the Fifth Third modernization effort to the modern piece on FIS, is there a change in annual contract value by moving from legacy to a modern solution there from an FIS perspective? Thank you. Sorry for the two extra questions.
Gary Norcross: Yes. No, two points. No, it's a great question. Two points on the Banking backlog in Q3. We don't - we don't need a lot of sales to hit that Q3 number. It really is backlog. You saw the backlog increase 8%, which is, I think, on memory, one of the largest increases we've seen of that backlog. It's certainly the largest the backlog has been. So the team is doing a great job of delivering new capabilities. We've now got six of our clients on NBP and production. So you get a ramp effect of that going into that and also the new products and capabilities we're selling. But it's really just in delivery of that backlog into Q3. And so that just goes to show as that backlog builds, you're going to see a consistent ramp across that Banking segment. When you look at Fifth Third, it's a substantial increase for us in contract value in the relationship because keep in mind a number of those capabilities, they're going off in-house systems to our systems in a fully outsourced manner. And so - so for us, we see a significant step function as we deliver those capabilities and then start recognizing that revenue through the processing channel. So it's a great relationship we've had with Fifth Third for a very long time. So we're excited about expanding this and excited about helping them rearchitect their technology stack for the future.
Tien-Tsin Wong: Terrific. Thank you. Thank you so much.
Operator: Thank you. Our next question comes from the line of Darrin Peller with Wolfe Research. Your line is now open.
Darrin Peller: Thanks, guys. I just want to hone in for a minute on the Merchant side. You talked about record sales growth, I think the second quarter in a row. If you could just give us some of the dynamics of where the - what kind of business you're seeing from that front? And then the confidence level in the second half of '21 being mid- to high teens, above '19 levels. I'm assuming that's in part of these mix, travel and certain geographies. If you can just give us a little more color on understanding the drivers there. What - how much pressure was the second quarter impacted by whether it's volume or revenue from those aspects? And then what could that mean for the second half?
Woody Woodall: Yes. I had a hard time hearing the beginning of the question, but I think it was around sales?
Gary Norcross: Yes, and the success.
Woody Woodall: So what I would just say, first of all, the team has just done a phenomenal job kind of embracing that in the playbook of sales and what we were trying to accomplish. So whether it be the banking organization, the merchant organization and the capital markets, all three had really strong sales outings for Q2. The Merchant team, in particular, has really kind of turned that engine around and really creating a lot of momentum, whether it be in the SMB space as you've heard, or the enterprise space and our e-commerce space, we've really had strong sales right across the board, continued expansion with our FI partners, continued expansion in our channels, the SMB space, as I said. So really just a strong outing. Our pipeline is really robust as we come into Q3. So we feel very good about where we're heading in the back half of the year. And we would expect to continue from the great success that we had in the first half of the year.
Gary Norcross: Yes. Darrin, I'll add too. We've seen yield dynamics were positive as we see volumes and reopenings happen. The international business is reopening, but lagging the U.S. in terms of timing. So we think that's a tailwind in the back half of the year. Discretionary verticals are also improving as we've seen in both restaurant being up very sharply, both domestically and internationally. We really haven't seen any attrition. And our actual merchant count is up year-over-year and about 5% up sequentially during the second quarter. So you have the sales, you add the merchant count, add the outlook in terms of the yield benefit and the volume expectations, we feel really good about the back half of the year being in that mid- to high teens. Further, we saw July improving compared to June and it's in line with our 3Q guidance that we just put out and generally in line with the networks as well. And then the international business is trending a little higher than the U.S. in terms of volume improvement in July. So you add all those things together, that's how we think about mid- to high teens growth compared to 2019, both Q3 and Q4.
Darrin Peller: All right, thanks. Very quick follow-up is just your extension into 2024, your confidence in the 7% to 9%. What really changed about that? Was it just the big pipeline? Was it bookings in Banking or maybe broad-based?
Gary Norcross: Well, I think the nature of our business, Darrin, we've talked about this a lot. It's so highly reoccurring in nature. And when you look at the backlog, you look at the acceleration of $22 billion, you look at the pipeline, you look at records signings in Q2, following record signings in Q1, followed by a record year last year in sales, you look at the delivery channel of what we're onboarding, you look at the trend and the recovery going on, I mean, we feel very confident in extending to 7% to 9% in growth and look at accelerating further beyond that. You've got Capital Markets that we used to look as a low single-digit grower. You're seeing that move into, what, 6% organic growth this quarter. You're now in the mid-single digits. You're going to see Capital Markets give, its sales success trend towards the upper single digits. Banking is getting well established in the upper single digits, giving its backlog and giving it sales success. And then you look at the strength of the Merchant portfolio and the recovery. I mean, we had strong recovery across every one of the verticals we participate in. Our sales were strong across all those verticals as well. The yield dynamics have recovered from where we - just as we said they would back to kind of 2019 levels. So, all of that comes together. We just got a lot of confidence that the engine is running very well and the growth aspects, just booking the historical sales to-date will continue to propel us into that 7% to 9% range through 2024. Now obviously, we look at the pipeline as well. We've got a lot of confidence in what we're seeing shaping up in Q3, Q4 and into next year. So all of those things are just driving us to extend the long term - the midterm outlook.
Woody Woodall: If I could just add and underscore the really bringing new product to market and the innovation that we're driving there has really helped us accelerate. And we expect that to continue. We've really created a wonderful process with the organization. We're seeing a lot of success whether it be Access Worldpay, whether it be MBP, PaymentsOne. We've got a whole litany of new products that have come and are really making a material impact for us. And we expect that to continue as we're driving forward.
Darrin Peller: Very helpful. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Dave Koning with Baird. Your line is now open.
Dave Koning: Yes. Hey, guys. Thanks and nice job.
Gary Norcross: Thanks, Dave.
Dave Koning: Yes. And I guess my first question, when we think of some of the yield dynamics that are starting to really play out now, when we look into next year, is this year still depressed from the standpoint, the mix of revenue is still coming less this year from SMBs than normal and volumes are probably a little bit, especially in Q1 this year, were also a little bit non-normal. Do we think yields into next year provide another catalyst - positive catalysts as SMBs recover as part of a mix - as part of the mix?
Woody Woodall: Yes, I think it's beyond just the SMBs too. Some of the verticals that had a richer margin profiles, like travel and airlines, we anticipate to continue to recover into 2022 as we continue to go forward. So yes, we think it will still be a bit of a tailwind at least through the first half of 2022. Over time, we anticipate yields to be a net positive for us, but obviously, not quite as big as we've seen this year with the dynamics that we've seen around the pandemic. But you're right, both a combination of the sharp increase in some of the more discretionary verticals that continue to reopen both in the U.S. and outside the U.S. as well as some of the other verticals like travel and air will certainly be some benefit to yield next year.
Dave Koning: Got you. Okay, thanks. And then just as a follow-up, it seems like the market - the banking market is really good, and you're taking share on top. I guess, is there a way to almost disaggregate the two, like do you feel like the market is better than usual and maybe sustainable for several years? And then how much of the growth do you think is just kind of above market gain share type stuff?
Gary Norcross: I think we positioned - Dave, it's a great question. I think we've positioned in Banking, and frankly, Capital Markets for the last several quarters. We're really at an inflection point for the industry. A lot of those technologies are legacy - what people call legacy-based technologies. They're in very old architectures. They're trying to respond and becoming more nimble and take cost out and getting more digitally native. And that's where - that plays to the strength of FIS. We started this transformation almost now four years ago. Bruce mentioned a number of the products we're bringing online, Modern Banking platform, Digital One, PaymentsOne, the list goes on and on in Banking, and you're seeing a high demand for that. So we're taking share from traditional in-house where large - very large financial initiations actually built their own systems or leverage some type of offshoring capability to build their own through some augmentation or just running a very old piece of technology that's been in existence for decades. And so, they're now reaching in and taking advantage of some of our modern architectures. And doing it through our cloud because of all the investments that we've made in cloud-based technologies. And all of that really is timing us very well for this inflection point. So we feel very confident that we're just getting started on what I've described as a journey over the next decade and FIS is exceptionally well positioned to take advantage of that globally and will.
Woody Woodall: Yes, Dave, I'll just follow on too. We've highlighted over several years, the investments that we've been making. We anticipated those investments to turn into sales and they did. We've told you those sales will turn into revenue acceleration, and they are. And now we're even highlighting the contribution of that new solutions and that new innovation revenue as part of the overall contribution mix and the revenue growth profile to try to give you some confidence in our ability to sustain these higher growth levels based on the investments and the innovation work that we're doing.
Bruce Lowthers: Yes. And I would just add from a customer perspective, the thing that I hear back from our customers is really twofold. They're very focused on kind of modernization in the banking space, and they're extremely focused on new product offerings, how do we get more product offerings out to them. And I think you've heard us talk over the last year about these two themes and actually longer as Gary has talked about our modernization efforts started years ago, and we're positioned very well to kind of meet what our customers are asking for, and we feel very good about that.
Dave Koning: Great. Thanks, guys.
Gary Norcross: Thanks, David.
Operator: Thank you. Our next question comes from the line of George Mihalos with Cowen. Your line is now open.
George Mihalos: Hey, good morning, guys and congrats. I think in normal times, this will be considered a good quarter, so congrats.
Gary Norcross: Thanks.
George Mihalos: But I just wanted to ask - good to see that longer-term outlook, the 24%, the 7% to 9%, I think that's something that's being under-appreciated by the market. Gary, I'm just curious, the derivation of that 7% to 9%, has that changed at all at the segment level? Meaning, are there segments or businesses where you feel you're doing better than sort of post-pandemic and that will continue and others that may have been perhaps somewhat impacted in the post-pandemic world? Just curious how you're thinking about that?
Gary Norcross: You know, it's a great question, George. I would say that our Merchant businesses, we're seeing good acceleration there. The team has done a very nice job of expanding the sales team and technology stack and starting to push in the markets that Worldpay traditionally didn't play in. We're starting to see a nice acceleration there. So we expect that that segment in the coming years to be a consistent double-digit performer on organic growth, which is used to perform below that historically. When you look at the Banking business, I would say the Banking business is operating the way we thought it would. We've had good line of sight in that for a number of years of our investments and we're seeing that actually kind of hit the numbers exactly where we projected and realizing that we were expecting some big ramps and big ramps through the sales initiatives. So we made a lot of investments there, and that business has been fundamentally transformed and, and so we're seeing the results that we had hoped for. Capital Markets actually has improved over what we thought. We traditionally thought when we bought Capital Markets, there was a strong position to expand there. We saw the ability to bring solutions to market, not just products, move beyond the licensing business into an outsourcing business. And we thought if we did that, we were conservative and thought mid to low single digits organic growth there. And what we've seen is that business has transformed actually faster in the demand for our front, middle and back office solutioning, the new investments we made around RegTech and some of the higher-growth areas of that market have really paid big dividends and so now we're seeing that move much closer to the Banking business. So, I think that's going to continue to accelerate for us and that's why we think that the 7% to 9% is it very, we're very confident in executing in that range for the coming years and look forward to continued execution.
George Mihalos: Okay, that's great color. Just sort of a quick follow-up. I know you got the buy-now-pay-later question, but maybe I'll ask us a little bit more broadly. Some of your competitors, your partners, they have acquiring models but they obviously own proprietary APMs I'm curious is that something that could potentially be of interest to you guys or do you sort of want to sort of stay in the Switzerland approach in terms of how you're servicing clients?
Woody Woodall: Yes, I think from our perspective, we participated in APM for a long time and we'll continue to do that in more of a Switzerland type of --. We're going to take the right payment types in the right markets and continue to partner. One of the things we talk a lot about is being kind of a world-class collaborator with others. The bedrock of that for us has really been Code Connect and Worldpay Connect. As we have built out these exponential APIs and it's allowing us to bring product to market faster and meet the needs of our customers. So I think for us, we're going to continue to go down that path, building out solutions that I think other people won't be able to do in time frames that we'll be able to bring them.
George Mihalos: Thank you.
Operator: Thank you. Our next question comes from the line of Ashwin Shirvaikar with Citi. Your line is now open.
Ashwin Shirvaikar: Thank you. Hi, Gary. Hi, Woody.
Gary Norcross: Hey, Ashwin.
Ashwin Shirvaikar: Hey. Congratulations on another strong quarter. I guess I want to go back to the margins and completely understand investing in people, clients and, those are all good things. The question is, what drives the lower, lower-end of your margin range, what drives the upper end of the margins range, and while sticking on margins? Were there any one-timers slight maybe non-recurring things like higher crypto you think that might have driven this particular quarter here?
Gary Norcross: Yes. A couple of things. We are seeing higher incentive accruals, as we've talked about, driving that up to reward our people for outperforming our operating plan. You've got - that is one component. I would tell you, incremental incentive accruals, Ashwin, are about $0.04 and our full year outlook of incremental there. We also were seeing continued wins in these large deals that are taking some time to get up and running. T. Rowe Price as well as Fifth Third are two of the largest transactions that we've ever run in terms of size of contract and they'll have some short-term pressure on margin as we continue to ramp up those customers and get their revenues moving. This flows all the way from revenue driving at full run rate showing the operating leverage in the business, but you have to ramp that revenue up and you have a little bit of a headwind in terms of the margin rate, as we continue to see accelerating revenue on the top line. So, those are really kind of the components I tried to highlight in there as what's driving the margin. From a one-time or perspective, not a lot of one-timers in here, pretty clean in terms of the quarter and feel good about what we've executed on.
Woody Woodall: We do feel good Ashwin, long-term. Even in the out years, we've talked about 7% to 9%, but we've got consistent margin expansion built into our models in the outyears as well. I mean, the contribution margins of these new sales come on as we've talked about in the past. They come on in very high margins. Bruce has talked about our ramp in investment in new products and obviously we continue to do that, continue to bring new product capability to continue to consolidate - increase our overall growth rates. But we feel very good about where our margins are today. We have really strong margin expansion for the full year this year, also highlights just how well we're doing with operating synergies and all of the revenue growth. So that will continue as we push into the out-years with margin expansion in the mid-term guidance we gave each year.
Ashwin Shirvaikar: That's great. No, I definitely agree with the you guys are executing. There was some speculation recently with regards to a portion of your Capital Markets business, potentially from being divested or let you perhaps open to divesting it. Any updates until broadly when you look at your look - current book current businesses? Does it all fit together in your eyes? Or any strategic new point you might want to share?
Gary Norcross: Ashwin, we don't comment on rumors, as you know. But what I would tell you is we've always had a strong viewpoint as part of our strategy is to continue to look at our portfolio and make sure that our portfolio of assets makes sense for our long-term strategy. We signaled recently that we pushed some things into our other segment as non-strategic. Would we divest things in the portfolio don't fit our overall strategy? We've done that historically, and when you think about what we did years ago with our health care business and our public sector business. But typically, as I said, we signaled that we move things into the other category, things that we are considering as non-strategic, but we really don't comment on rumors on divestitures or acquisitions for that matter.
Ashwin Shirvaikar: Got it, got it. Congratulations, again. This is pretty solid.
Gary Norcross: Thank you.
Woody Woodall: Thank you, Ashwin.
Operator: Thank you. Our next question comes from the line of Dan Dolev with Mizuho. Your line is now open.
Dan Dolev: Hi, guys. Thanks so much for taking my question. Two questions. The first one is - and then I have a follow-up. Can you maybe elaborate a little bit on sort of the puts and takes of what happened in the second quarter in terms of just the growth rates between SMB? I know you called out e-commerce, but just if you think about those subsegments, and then I have a follow-up. Thank you.
Woody Woodall: Yes, I can comment on that. Overall, Merchant growth in the second quarter was 45%. If you break that down between enterprise and SMB, SMB grew 50% for us in the second quarter and the enterprise business grew a little over 40% combining to that 45%. If you remember, global eCom sits in the enterprise business, growing at 31%. So that's a little bit of the breakdown between them. We did see some sharp increases in verticals, both North America restaurant and international restaurant were up about 70% around reopening. So as we anticipated, we expected the volumes to come back and they did. And then we got the yield benefit through those some of those higher yielding verticals. As the reopenings happened, it rebounded. So that's a little color around SMB and enterprise there, Dan.
Gary Norcross: I would just add that the team is just performing at a very high level, the execution with the Merchant team bringing product to market, execution, driving sales, the Banking team, the Capital Markets team, all of them just really kind of embracing what we're trying to do and executing at a very, very high level.
Dan Dolev: Yes, that sounds really strong. And then my follow-up is more macro. There is a lot of anxiety here in the U.S. that we're kind of a few months behind the U.K. I know you have like a huge U.K. exposure. Can you give us some understanding of how things are trending there given the decision that they made to reopen everything? I mean are there, are you seeing things sort of reopen as it peaks and comes down? Like, it's just I think there is a lot of anxiety here that we're going to see the same thing in a couple of months, given the surge in the Delta. Thank you.
Gary Norcross: Yes. As we highlighted, we continue to see July results improving. That is improving better or trending better internationally than in the U.S. right now. You. We certainly saw some benefit in the back half of July with some of the U.K. reopening as we've seen the volumes increasing there. Certainly, continue to monitor everything as things go along, but feel good about what we're seeing right now in terms of volumes outside of the U.S. continuing to improve. They are lagging the U.S. a little bit as we talked about. We certainly saw the U.S. outpace international growth in the second quarter, but we anticipate the international areas to continue to drive into the back half of the year.
Dan Dolev: Really appreciate it.
Gary Norcross: Thank you.
Operator: Thank you. This concludes today's question-and-answer session. I will now turn the call over to Gary Norcross for closing remarks.
Gary Norcross: Thank you again for joining us this morning and thank you to our dedicated colleagues who continue to show their commitment to providing world-class technology solutions for our clients, so that they can stay ahead of the curve. This commitment will lay the foundation for our growth in 2021 and beyond. If you have any further questions that were not addressed on this call, please reach out to our Investor Relations team. Thank you and goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may all disconnect.